Operator: Good day, and thank you for standing by. Welcome to the FuelCell Energy, Third Quarter 2021 earnings conference call. At this time, all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to your speaker today. Tom Gelston, Senior Vice President of Finance and investor relations. Please go ahead.
Tom Gelston: Thank you, Carol. Good morning, everyone, and thank you for joining us on today's call. As a reminder, this call is being recorded. This morning FuelCell Energy released our financial results for the third quarter of fiscal year 2021, and the earnings press release is available on the investor relations section of our website at fuelcellenergy.com. Consistent with our practice, in addition to this call and our press release, we will post slides presentation on our website. This webcast is being recorded and will be available for replay on the Company's website, approximately two hours after we conclude the call. Before we begin our prepared comments, please direct your attention to the disclosure statement on Slide 2 of the presentation and the disclaimers. included in the press release related to forward-looking statements. The discussion today will contain forward-looking statements, including without limitation, statements with respect to the Company's anticipated financial results and statements regarding the Company's plans and expectations regarding the continued development, commercialization, and financing of its FuelCell technology and business plans. These forward-looking statements are intended to qualify for safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today other than statements of historical facts are forward-looking statements and include statements regarding our anticipated financial and operating performance. Forward-looking statements made on this call represent management's current expectations, and based on information available at such time, statements are made. Forward-looking statements involve numerous known and unknown risks, uncertainties, and other factors that may cause our actual results to differ materially from any results predicted, assumed, or implied by the forward-looking statements. We strongly encourage you to review the information in the reports we file with the SEC regarding these risks and uncertainties, in particular, those that are described in the risk factor section of our annual report on Form 10-K and cautionary statement language concerning forward-looking statements disclosure in our quarterly report on Form 10-Q. You should also review the section entitled Cautionary Statements concerning forward-looking statements in this morning's earnings press release. During this call, we will use non-GAAP financial measures when we talk about the Company's performance and financial condition in accordance with SEC regulations. You can find a reconciliation of the non-GAAP measures and the comparable GAAP measures in this morning's earnings release and the reconciliation document posted on the investor relations portion of our website. For our call today, I'm joined by Jason Few, FuelCell Energy 's President and Chief Executive Officer, and Mike Bishop, Executive Vice President, Chief Financial Officer, and Treasurer. Following our prepared remarks, we will be available to take your questions and be joined by other members of the leadership team. I would now like to hand the call over to Jason for opening remarks. Jason?
Jason Few: Thank you, Tom. And good morning, everyone. Thanks for joining us on our call today. We had a number of successes during the third quarter as we continue executing against our powerhouse business strategy. Before getting into the business highlight, I will give a brief Company overview shown on slide 3. Looking at our last full fiscal year ended on October 31st, 2020. We delivered revenues of approximately 71 million, comprised of our three largest revenue categories: servicing licenses, advanced technologies, and generation. All of which represent diversified sources of recurring revenue under multiyear contracts. In addition to those three revenue categories just mentioned, we are confident that we will regain meaningful incremental revenue from product sales in the future. In the near term, we see opportunities developing an international markets including Asia, Europe, and in target customer segments domestically. We've been taking steps to rebuild our business development and go-to-market capabilities as an essential step in the strength in pillar of our powerhouse business strategy to ultimately support growth. We have also been adding experienced strategic talent as we continue to focus on market segments that deliver long-term growth opportunities, which we believe will position us to reenter targeted global markets, expand client relationships, and build new ones by focusing on key customer segments. Our Company headcount, is currently 380 team members and growing. We've had many global customers who are utilizing our multi-featured FuelCell platforms. Many of these systems integrate combining power capabilities creating high energy efficiency levels. Other installations enable microgrids, enhancing grid resiliency and reliability. Some of our applications utilize biofuels, resulting in carbon neutral to carbon negative power, and eliminating onsite flaring. Now turning to slide 4. As a Company, we're committed to our purpose of enabling the world to live a life empowered by clean energy. The world will always need reliable power created in an environmentally responsible manner. We are periodically and increasingly reminded by fires, hurricanes, and other extreme weather, that grid reliability remains a critical issue that can't be taken for granted. We're committed to providing solutions that deliver on our commitment to addressing climate change and deliver clean base load power ultimately, around the world. Today, according to the WHO, more than 1 billion people are without access to reliable power. With our broad product portfolio, FuelCell Energy is uniquely positioned to assist customers with decarbonization goals, leverage a wide range of feedstock, and to meet the challenge of ensuring energy reliability and infrastructure resiliency. Our customers can and should be able to achieve each of these objectives. We believe the goal of decarbonization does not require deindustrialization. And that developing countries around the world should also participate in economic development alongside industrialized nations. Instead of non-on-site solutions that rely heavily on credits or offsets, our technology provides authentic and local solutions for clean energy and has the future promise to decarbonize industries less suited for electrification. We believe strongly in the ability for customers to make a direct impact in the communities in which they operate, directly reducing the need to rely on offsets that can originate thousands of miles away. And as we look to the future, we plan to deploy our unique and differentiated energy solutions to generate hydrogen through electrolysis and/or fuels, stored that hydrogen and utilize that hydrogen to form up intermittent renewables, re-power transportation, power existing combustion generation assets with hydrogen, and provide clean hydrogen as a source of energy to the industrial sector. We do this in a manner which supports high standards of living and economic growth while protecting the environment and adapting to new resource challenges. This purpose continuously drives our strategic focus and the work we're passionate about doing. Next, I would like to turn your attention to some key messages for the quarter shown on Slide five. First, I am very pleased to announce that during the quarter we began commercial operations at the 1.4-megawatt biogas project at the San Bernardino, California wastewater treatment facility. On a 7.4 megawatt project at the U.S. Navy Submarine Base in Groton, Connecticut, we have achieved mechanical completion and executed the interconnect agreement. During the commissioning process, the final stage prior to commercial operation, a localized and contained elevated temperature was observed inside a component of one of the two installed plants and as a result, the commissioning process was suspended. This has delayed the overall commissioning timeline for the platform, as we repair the gasket seals and installation. Our team has identified the root cause and is in the process of applying improvements and preventative upgrades, as well as implementing the necessary repairs to the plant. We expect to resume commission on this project in late September, but timing is dependent on non-fuel so energy-related activities on navy base. Our intent is to achieve commercial operations as expeditiously as possible. We're also continuing to make significant progress on other new projects in our backlog, totaling 24.5 megawatts. Onsite civil construction activity has advanced on our 14.8-megawatt utility-scale platform in Derby, Connecticut. And our 2.8-megawatt utility-scale share clean energy project is in early-stage development. In addition, the construction of our 7.4-megawatt project in Yaphank, Long Island, which is shown on the right-hand side of the slide, continues. Our 2.3-megawatt TriGen hydrogen platform which is being built at the port of Long Beach in California, has advanced to early site civil construction. Upon its completion, this multi-feature platform will deliver carbon-neutral electricity, green hydrogen, and pure water, helping our customer, Toyota avoid water consumption in a region experiencing extreme drought conditions and provide a central distributed hydrogen fueling infrastructure to enable the continued growth of hydrogen FuelCell electric vehicle transportation. Second, we have further enhanced our balance sheet to achieve an overall lower cost of capital across our platform and subsidiaries. To strengthen our liquidity and financial flexibility, In June, we commenced an at-the-market offering program with Jefferies and Barclays Capital to offer up to 500 million of our common stock. Through July 31st, 2021, we sold approximately 44 million shares under the Open Market Sales Agreement, generating net proceeds to the Company of approximately 369 million. We plan on using the net proceeds from this offering to accelerate the development and commercialization of our advanced technology products, and for product financing, working capital support, and general corporate purposes. Additionally, we recently closed on 2 tax equity transactions. One is a tax equity sale-leaseback financing transaction with Krestmark equipment finance for the 1.4-megawatt bio-fuels FuelCell project with the city of San Bernardino Municipal Water Department in California. This marks our second deal with Krestmark. That transaction total was 2.-- 10.2 million through a 10-year sale-leaseback structure and demonstrates what we believe is a continued interest from the financial markets in FuelCell Energy's differentiated technologies. And we closed on a tax equity partnership flip financing transaction with Eastwest Bank, for the 7.4-megawatt FuelCell project located on the U.S. Navy Submarine Base in Groton, Connecticut. Eastwest Bank tax equity commitment totals 15 million. The ability to utilize these financing solutions enables -- enables us to recycle capital for additional clean energy projects and commercialization initiatives. And the third key message today is our focus on strengthening our leadership and sustainability. We have increased our commitment to research and development focused on the commercialization of our solid oxide power generation, hydrogen storage, and hydrogen electrolysis platforms, as well as growing our commercial capabilities. Our DOE supportive programs continue to advance the design of our solid oxide stacks, stack modules, and balance of plant systems. We are also executing programs to develop reversible solid oxide platform for energy storage and very high efficiency, solid oxide power generation systems. Through our technology portfolio, we're developing solutions intended to address major global issues as society looks for ways to address climate challenges while at the same time combating grid reliability issues. FuelCell Energy remains focused on developing and deploying our distributed generation, distributed hydrogen, electrolysis, hydrogen energy storage, and hydrogen power generation, and Carbon-capture solutions portfolio solutions for some of the largest global energy opportunities. Turning to Slide 6, FuelCell Energy is positioned to deliver decarbonization solutions across the energy delivery value chain. We believe energy must be delivered in distributed networks where it is needed, which will decrease dependencies on less efficient and less environmentally friendly centralized resources, help to harden grid infrastructure around the world, and lower the dependence on costly long-distance high-voltage transmission. Our distributed platforms offer clean base-load alternatives to traditional generation sources, avoid more emissions on a 24 by 7 basis than wind and solar. And as we commercialize our hydrogen solutions, our platforms will offered the opportunity to extend the life of existing investments in traditional generation assets by re-powering with high green -- hydrogen and/or capturing carbon from those generating assets. At the local distribution level, we enhance grid resiliency by delivering microgrid applications, signing generation closer to where it is consumed, and providing onsite solutions for commercial applications, ranging from power generation, hydrogen, thermal energy, and carbon as a product ingredient for utilization. The multi-featured capabilities of our product and proven ability to operate using a variety of fuel sources, supports distributed-based degeneration and growing demand for hydrogen, carbon capture and energy storage. FuelCell Energy is ready to transition power delivery around the world. And now I will turn the call over to Mike to discuss our financial results in more detail. Mike?
Michael Bishop: Thank you, Jason. Let's begin by reviewing financial highlights for the quarter shown on slide 7. In the third quarter of fiscal year 2021, we delivered revenues of 26.8 million compared to 18.7 million in the third quarter of fiscal year 2020. Looking at revenue drivers by category, service agreements and license revenues increase 102% to 14.3 million. The increase was primarily due to the fact, there were more module exchanges during the quarter. Module exchanges generated approximately 13.4 million of revenue in the current year quarter, compared to revenue of 6 million in the prior-year quarter. Generation revenues increased 32% to 6.2 million for the quarter from 4.7 million, primarily due to higher operating output of the generation fleet portfolio, as a result of investments and maintenance activities, and an increase in our fleet size. Advanced Technology contract revenues for the quarter decreased 9% to 6.2 million from [Indiscernible] recognized under the Joint Development Agreement or JDA, with ExxonMobil Research and Engineering Company or EMRE, were approximately $100 less revenue recognized under government contracts. Gross profit for the third quarter of fiscal year 2021 totaled $1.1 million compared to a gross loss of 3.1 million in the comparable prior-year quarter. Higher gross profit for the quarter as a result of higher service gross margin primarily due to more new module exchanges for projects with higher margins during the current year quarter, improved generation gross margin related to an increase in revenues and a decrease in depreciation expense and lower manufacturing variances primarily as a result of increased production volumes. These were partially offset by lower advanced technology gross margin primarily related to the mix of government contracts in the quarter. Operating expenses for the third fiscal quarter of 2021 increased to 11.7 million from 7.6 million in the third quarter of fiscal 2020. Components of our operating expenses are, administrative and selling expenses totaled 8.7 million in the third fiscal quarter of 2021, and included legal expenses associated with the tax equity financing, as well as additional share-based compensation of $500,000, due to non-cash grants made in August and November 2020 under our long-term incentive plans and increased compensation expenses as a result of an increase in staff compared to the prior-year period. Research and development expenses totaled 3 million in the third fiscal quarter of 2021 and reflect increased spending in the Company's hydrogen commercialization initiatives, compared to the comparable prior-year period. The loss from operations totaled 10.6 million in the third fiscal quarter of 2021, compared to 10.8 million in the comparable prior-year period. Net loss improved to 12 million in the third fiscal quarter of 2021, compared to a net loss of 15.3 million in the comparable prior-year quarter, due in part to higher gross margin for the third fiscal quarter of 2021 compared to the comparable prior-year period. Additional contributing factors included lower interest expense as a result of the early repayment of the Orion facility and the fact there was no charge for the change in fair value of the common stock warrant liability, partially offset by a higher operating expenses for the period and the fact there was no gain on extinguishment of finance obligation recorded in the quarter as there was in a comparable prior-year period. The net loss attributable to common stockholders in the third quarter of 2021 was $0.04, compared to $0.07 in the third fiscal quarter of 2020. The lower net loss per common share was due to higher weighted average shares outstanding due to share issuance since July 31st 2020 and the lower net loss attributable to common stockholders. Adjusted EBITDA totaled -5.2 million in the third fiscal quarter of 2021, compared to adjusted EBITDA of -5.6 million in the third quarter of 2020. Please see the discussion of non-GAAP financial measures, including adjusted EBITDA in the appendix of this deck and our earnings release. Next, please turn to slide 8 for additional details on our financial performance and backlog. The chart on the left-hand side of the slide graphically shows the numbers we just reviewed for the third quarters of fiscal years 20 and 21. Looking at the right-hand side of this slide, we finished the quarter with backlog of approximately $1.3 billion reflecting the continued execution of backlog and adjustments to generation backlog primarily resulting from the decrease in fuel pricing, which lowered estimated future revenue offset by the inclusion of the project with United Illuminating in Derby, Connecticut, which was awarded in the second quarter of this fiscal year. Now, turning to Slide 9, I will build upon Jason's comments on our enhanced liquidity. As he mentioned, our at-the-market sales of common stock resulted in net proceeds of approximately $369 million during the quarter. Subsequent to quarter-end, we closed a tax equity sale-leaseback financing transaction with Krestmark Equipment Finance with Eastwest Bank Corp for the U.S. Navy Submarine Base project in Groton, Connecticut. These financings will further enhance our liquidity position. All of these actions are consistent with our powerhouse business strategy to strengthen liquidity with a goal of enabling us to focus on executing our business plan, including building out, including our solar-oxide platform, carbon capture, and separation solutions, and expanding our go-to-market activities. As of July 31, 2021, we had total cash and cash equivalents of approximately $494 million. This total includes approximately 468.6 million of unrestricted cash represented by the blue bar on the chart in the center of the slide, and 25.5 million of restricted cash and cash equivalents, represented by the green bar. On the right-hand side of the slide is a chart illustrating our total project assets, which make up our Company-owned generation portfolio. We intend to continue to develop, construct, and grow project assets. Investments to date reflect capital spent on completed operating projects represented by the gray bars, and capital spent on projects currently in development and construction represented by the light blue bars. At the end of the third quarter of fiscal year 2021, our gross project assets totaled approximately $238.3 million. As detailed on slide 19, in the appendix of this presentation, our generation portfolio totaled 76.1 megawatts as of July 31st, 2021. This includes 34 megawatts of operating assets and 42.1 megawatts of projects in process Projects and process begin commercial operation. They are expected to contribute higher revenue and adjusted EBITDA. Additionally, as these future projects come online, we expect to seek additional long-term tax equity financing, such as the examples I previously discussed. In closing, we are pleased with the progress made this past quarter, and from a financial perspective, we believe we are well-positioned to execute on our near [Indiscernible]. I will now turn the call back over to Jason to discuss further.
Jason Few: Thanks, Mike. And moving to slide 11. As we've laid out in our comments today and over the past several quarters, we have been successful in increasing liquidity and an attractive cost of capital, which we intend to reinvest to achieve sustainable growth. We will continue to execute against our projects backlog and as projects are completed, this will expand our generation portfolio, which we expect will generate higher revenues and EBITDA. As I have already discussed, we're also making investments toward advancing our solid oxide platform and Carbon capture solutions to commercial deployment. To facilitate growth across all of our platform technologies, we're working toward the goal of achieving an annualized manufacturing production rate of 45 megawatts at our Torrington facility by the end of the calendar year, up from 70 megawatts at the end of fiscal 2020. With our focus on manufacturing excellence, we have made strides and continued adoption of lean manufacturing principles and implement [Indiscernible] were feasible. This increase production rate has also been facilitated in part by our effort to bring in additional talent and expertise across several key areas of the business. In addition to manufacturing personnel, we have recruited for key capabilities in support functions with business development and engineering, while also improving our retention capabilities. Next, on slide 12, I'd like to give further details, specifically regarding our investment in strategic talent, because advancing and elevating human capital management is critical for the next phase of our growth. In particular, I would like to highlight some additions to the leadership team. This summer, Betsy Schaefer assumed the role of Chief Marketing Officer and she brings with her considerable Fortune 50 experience in corporate communications, marketing and brand management. We believe that she will help us articulate our value proposition to customers and prospective customers alike, as well as educate national and local policymakers on the value of FuelCell technology, and it's essential role into energy transition. We've also brought on board Andrew Jones, our Chief Peoples Officer, should develop retain, adapt to a new work model, and enhance our human capital resources as we continue on our journey of growth and ensure we are well-positioned to compete for talent. We are also continuing to add expertise across all areas of the Company. To grow the commercial team to build our sales pipeline at product engineering, manufacturing, and project management capabilities, and increase our base service capabilities as our product installed base continues to grow. Additionally, I am delighted to officially welcome our two most recent Board members, Cynthia Hansen and Donna Sims Wilson, which expands our board to 7 Directors, 6 whom are independent. Cynthia and Donna are respected executives in business today, and will add tremendous value to our Company as we execute our strategy. Next, on Slide 13, as our powerhouse business strategy, which is based on three core pillars of transform, strengthening, and grow. I won't go through each of these today, but I think it is important that we remain centered around our overarching strategy to penetrate significant market opportunities, where we believe our technology will win. We introduced the powerhouse business strategy in January of 2020, when I was relatively new to the position of CEO. This strategy was intended to serve as guidepost for our turnaround as we repositioned FuelCell Energy to capitalize on the energy transition, and I think it has served us well. We have built a durable financial foundation and our added liquidity provides the flexibility to fund our growth plans and effectively compete in the marketplace. We're developing new technologies, growing our production capabilities and capacity, delivering on our backlog, and continuously striving to improve our operational excellence and deepen customer relationships. I'm energized by the focus and resolve with the FuelCell Energy team as we continue to grow our Company, to attain our vision of a world in power by clean energy. Looking at Slide 14, we will continue to drive progress toward our long-term targets and goals for fiscal year 2022, that we established with the launch of the powerhouse business strategy. Reaching these targets will require successfully executing against our 42.1-megawatt project backlog, achieving commercial operation for each of those projects, and driving new top line revenue and margin as we invest in commercializing and human capital. As I've explained throughout my comments today, we are pursuing commercializing our advanced technology around distributed generation, distributed hydrogen, long-duration hydrogen energy storage, pure hydrogen power generation, electrolysis, and carbon capture sequestration and utilization. Finally, to conclude my remarks on Slide 15. We've executed several strategic actions to strengthen our balance sheet, enhance liquidity, and reduce our cost of borrowing, which we believe have positioned the Company to execute on our growth strategy. I am backed by an exceptional leadership team, and we continue to add to our talent pool across the Company. We are focused on taking care of our customers, achieving our financial goals, and continually building upon our operational excellence, while adhering to our core purpose. Our technologies have a key role to play in the global goals of decarbonizing the grid, developing a hydrogen economy, and supporting existing energy and industrial infrastructure investments with differentiated carbon capture solutions. We are two years into our powerhouse strategy to strengthen our business, maximize operational efficiency, and position us for long-term growth. Although we have hit a few bumps along the way, we remain on track and confident that we can achieve our plan. Finally, we intend to be a leader in sustainability and environmental stewardship. Through the technology we deliver and the full circular life of our platforms. And will provide an update on our efforts and evolving strategy during future calls. I will now turn the call over to Carol to begin Q&A.
Operator: Thank you so much, Jason. [Operator Instructions] hash key. Please stand by while we compile the Q and A roster. Your first question comes from the line of Jeffrey Osborne with Cowen.
Jeffrey Osborne: Hey, good morning, guys. I just had two questions for you, Jason. One is I was wondering if you can quantify or qualify the product sales? You mentioned that you expected near-term momentum there, but can you just give us a sense of a quoting activity in some of the new partners that you might be working like, how they're positioned in terms of financing, and some of the other challenges that we could some of the long lead [Indiscernible] and the types of products with their developing the projects?
Jason Few: Good morning, Jeff. Thanks for joining the call. Let me try to give you a sense of that. We've spent a lot of time rebuilding our pipeline as part of our powerhouse business strategy. And with that, we've talked a lot about the timeline of the sales cycle for the megawatt-scale class projects that we actually pursue. Being roughly in the 18 to 24-month type window. We are in very good position we think in terms of that pipeline. And the opportunities that we're working on across multiple customer segments, leveraging the multi-feature capabilities of our product, which is really what we're really focused on driving.  So as we look to the coming forward quarters, we anticipate that we will have a lot more to say about customer wins on our actual business. As you know, one of the things that we changed shortly after my arrival was how we talk about projects in our backlog. And what we've moved to is only putting in our backlog actual signed contracts or in the case of PPA s, fully executed PPA s. So as we move these things to our pipeline and get through contract negotiations and get to sign committed contracts, we'll have a lot more to say about those projects.
Jeffrey Osborne: That's great to hear, look forward to it. Just one quick follow-up. Just given the increased headcount and the new Executives that you have onboard, coupled with the changes in fuel prices, I was wondering Mike if you can remind us, or give us some guidance as to what we should think about the break-even levels are, assuming product revenue is zero or at the current run rate, what megawatt portfolio do you need? You need 50 megawatt, 60 megawatts? Any color you can have? What or add would be helpful?
Michael Bishop: Yeah. Good morning, Jeff, and thanks for joining the call. So what we -- at the beginning of the Powerhouse Business strategy, we did put out long-term targets that we're targeting by the end of fiscal 2022 to get the business to EBITDA positive. And really the tenants of being able to do that, executing on the strategy, building out the backlog of project assets that we have and we continue to make progress there, obviously, with San Bernardino coming online this quarter. So you'll continue to see revenue increase from our generation portfolio, and obviously, the EBITDA that comes along with that. So our expectation is that we're still on track to achieve EBITDA positive end of next year as we continue to execute on the business plan.
Jeffrey Osborne: Got it. Is that at a certain megawatt level or just based on time? I didn't know how to think about --
Michael Bishop: It's really the megawatts to support building out the backlog and continuing to provide modules to the fleet, so the production rate that we are ramping to today is 45 megawatts by the end of the calendar year. And that will support the business plan in front of us as we go forward.
Jeffrey Osborne: Got it. That's all I had. Thank you.
Michael Bishop: And certainly, to the extent that there are additional opportunities as Jason mentioned, we have capacity in the factory of up to 100 megawatts. So we could continue to ramp as additional opportunities evolve.
Jeffrey Osborne: Yeah. Thank you.
Michael Bishop: Okay. Thanks. Carol, are there any other questions?
Operator: Colin.
Colin Rusch: Hey, guys. I didn't hear the queue. Thanks for having me on. I was wondering about the investment in R&D and what you're doing to accelerate learning cycles. I think, excited to hear some of these new products coming into market, but what I understand kind of structurally what you guys are doing with that R&D effort to help move things along and get those products into the market as soon as possible.
Jason Few: Colin, thank you. Good morning and thanks for joining the call. Maybe I'll start and then I'll ask Tony, our Chief Technology Officer to chime in a bit here. But part of what we're doing is really focused on the talent that we're bringing in to help accelerate the commercialization process, in addition to the investing that we're doing, outside of what traditionally in some of our -- like our solid oxide platform has been a lot of DOE that we continue to benefit from, but we're making more investments there to speed up the commercialization process. The other thing that we're doing is more rapid prototyping and testing. And Tony can talk about some of the work that we've already done around electrolysis and moving towards the work that we're doing around reversible solid oxide as well.
Anthony Leo: Yeah, Colin, this is Tony. So what we -- as Jason indicated, we're basically utilizing DOE funding, in the case of carbon capture, the Exxon funding, and our internal R&D funds to bring these new technologies to market. And the prototyping, for example, that Jason mentioned is, we're operating a solid oxide electrolysis demonstration system right now in our Danbury labs, it's a completely integrated system producing hydrogen from power and water. It's hitting all of its performance objectives and the plan is to run it for another few months and then convert it to what we call reversible.  We'll add hydrogen storage, we'll add some equipment, and we'll take the hydrogen, store it in a tank and send it back to the same [Indiscernible] demonstrating application. So these initial demonstrations, basically trigger larger demonstrations. You may recall we have funding for 250-kilowatt demonstration at Idaho National Labs that we're building right now. And that's -- So we're moving down the demonstration to prototype path to commercial production with a mix of external funding, as well as our own internal funding.
Colin Rusch: Great. That's super helpful. And then just with the restructured balance sheet, congratulations on getting all of that done. Want to get a better sense of how that's changing your conversations with customers. I think Jeff was getting after a little bit earlier, but with this level of equity relative to your debt position in a view towards being EBITDA positive, have you been out talking about customers about that dynamic, and how is that changing the conversations with folks in terms of being able to move things along towards full IPO s?
Michael Bishop: Yeah, Colin, a great question. Yes, it obviously is a big help in the customer conversations. You know, one of the things that true about the FuelCell business and certainly amongst the stationary FuelCell providers is the uniqueness of the various technologies. And so our position of being in a much stronger balance sheet position is definitely helpful in terms of customers as they think about selecting our technology because core to that decision, is the long-term nature of the relationship that we establish with the customer, and that relationship is typically over 20 years on that -- on each purchase decision the customer makes. So being able to demonstrate viability, being able to just demonstrate strong financial stability, and the ability to continue to invest in innovation and obviously in the service and support model, is important for customers and it's certainly aiding in our conversations.
Colin Rusch: Okay. Thanks so much, guys.
Michael Bishop: Thank you.
Operator: Your next [Indiscernible]
Tom Gelston: Xander from Jefferies.
Laurence Alexander: Hi there. Thank you. I guess, first of all, can you give a sense of the broader pipeline or range of discussions that you're having? I mean are the size of projects changing? Are the lead times for potential projects changing? Can you give us sense for just the scope of activity that's not yet in your backlog?
Jason Few: Yes. So Laurence, thanks again for joining the call, and thank you for the question. As we look at the project conversations we're having or opportunities, they really span a range of different application opportunities for the Company. We continue to have a number of conversations around biofuels, leveraging the unique capabilities of our platform, right? And that uniqueness is the fact that we can actually leverage on-site biofuels without those biofuels needing the pipeline quality, or be transported on a common carrier pipeline, we can use them right on site. That gives us a unique set of opportunities to continue to pursue more opportunities, like the bio-fuel projects we talked about today.  We're having conversations around data center applications and continue to have a lot of conversations around education and healthcare. And in particularly, those conversations generally tend to be focused around microgrid and the importance of really showing up resiliency and reliability, just given all of the disruptions that are happening across the grid today. And then, as we talked about the multi-feature capabilities of our product, the opportunities that we're pursuing around food and beverage to be able to do multiple things in those applications, ranging from providing power, delivering carbon as an ingredient for utilization, rather than being beverage or in food processing, for example.  Providing thermal energy rather than be integration into their absorption chilling, and/or replacing our [Indiscernible] adding to boiler capacity in those facilities, which is generally what you find in those kinds of locations. And then across [Indiscernible] utility landscape, we continue to pursue utility projects and those are largely RFP driven. And as you know, in the State of Connecticut, for example, there was recently legislation passed for 30 megawatts of power platforms for fuel cells in the State of Connecticut with manufacturing fuel cells in the state, having been an advantage in terms of how those RFP responses get evaluated and so we continue to pursue those types of opportunities.  And from an international perspective, it's those same type of opportunities, but with a lot more focus as well in conversations around hydrogen and what's happening around hydrogen and carbon and carbon capture. Those are big focuses in our conversations there, and we see that customers are making long-range plans for projects that may not actually be implemented until the 2023-time frame and forward, but they're interested in making product selections around technology today, and so we are actively engaged in those types of conversations.
Laurence Alexander: And I appreciate a lot of the activity is on the microgrid side, but when you think about the larger applications, has those -- has the size of the largest [Indiscernible] compared to what you were considering a couple of years ago? Project size, I'm thinking Europe and Asia already be announced, so I'm just curious if your --
Jason Few: Yes. So our platform is a very scalable platform. And today, I believe there's still holds true that we have the largest FuelCell platform in the world. And we also have the largest installed FuelCell platform in the U.S.. We are working for an example, [Indiscernible] and building out our 14.8-megawatt project in Derby, as we talked about if the projects, you're more referring to are all around electrolysis and those type of opportunities are [Indiscernible] Our platform there on solid oxide the way we are architecting that and plan for commercialization is around being able to deliver gigawatt-scale capacity in awards obviously in that regard.
Laurence Alexander: Great. And then two last quick ones. Just the solid oxide when that starts to ramp, will then require the additional investments? And if you did scale your production from the 4045 megawatts up to 100 megawatts, and if you flex out the capacity that you're building, what would be the incremental margins on the extra volume?
Jason Few: I apologize, but I'm going to ask you if you don't mind to repeat your question only because there was some static on the phone and I didn't catch the first part of your question.
Laurence Alexander: Sure. On the solid oxide, is there any additional investment needed to scale up one get through the demonstration phases?
Jason Few: Yes, in terms of our need to build out manufacturing capacity for solid oxide, there will be investment required, because it is a different technology, right? We're going from our carbonate fuel cell technology. We're adding our solid oxide fuel cell technology. The stack architecture is totally different. I mean, so for example, our stack in our carbonate platform is 400 cells stacked and that module was about ten feet tall -- inches. So completely different cell architecture and the manufacturing process is different. That being said, there are leverage points across manufacturing with certain things like tape casting and other processes that are leverageable across both technologies, and we certainly will do that. But incremental investment is required to be able to scale capacity for our solid oxide manufacturing.
Michael Bishop: Turning the call. On your second question regarding profitability around the carbonated fuel cells, and as we leverage the factory here, at these current run rates we have -- we still have manufacturing variances coming through because we're below our standard, and the current quarter that was around 1.7 million. That cost has come down compared to the prior year which was in the 2.6 million range and as we continue to ramp, those manufacturing variances will continue to decline, which would expect to lead to higher profitability as the factory ramps.
Laurence Alexander: Thank you.
Michael Bishop: Thank you.
Operator: Your next question comes from the line of Praneeth Satish with Wells Fargo.
Praneeth Satish: Thanks. Good morning. I wanted to ask about the Groton submarine-based project. I guess what happens if the Navy declines the extension. Are there any workarounds or alternatives that you could pursue to keep the project going?
Jason Few: Praneeth, good morning. And thank you for joining the call and your question, we support the project as they have up to this point. And again, as we indicated, the project was in commissioning. We identified a high heat condition and we're making the repairs to that platform. And so we hope to be back in commissioning as we talked about later here this month in September, and then we would fully [Indiscernible] work through the contractual arrangements we have, which is kind of a threefold contractual arrangement between us, Seamak, the Navy, and Groton Utilities to continue to move the project forward.
Praneeth Satish: Got it. And then, can you just give us a sense of the module exchanges that are expected to occur over the balance of the year? Should we expect that continued positive year-over-year impact from this? And if so, are there any specific dynamics that's driving the uptake and exchanges this year?
Michael Bishop: Good morning, this is Mike. I'll take the answer to that question. From an accounting and revenue recognition perspective, the way module exchanges are accounted for, essentially -- and these are under our long-term service agreements, revenue recognition is deferred under the long-term service agreements for the portion related to module exchanges, which typically happen every 5 or 7 years depending on the life of the module. So when you look at our results for service, it is variable there's some quarters that have very little module exchanges, unlike this quarter, we had a higher level. And it's really dependent on the life cycle of the plant in the field and when -- and when modules are due for replacement, we have not put out specific guidance around our service revenue, but would expect it to be variable, as we've reported in the past.
Praneeth Satish: Got it. Okay. Thank you.
Michael Bishop: Yeah.
Operator: Our next question comes from the line of Noel Parks with Touhy Brothers.
Noel Parks: Good morning.
Jason Few: Good morning, Noel.
Noel Parks: Just had a couple of things. I wondered if you could talk about with the tax equity financings, with the Groton project and San Bernardino. Can you talk a bit about the mechanics of those financing? I'm curious about what the lead time was involved in the application process and -- or just negotiation process, and whether there any prepayment restrictions on those arrangements?
Michael Bishop: Sure. Good morning, Noel. And thank you for joining the call. I guess, to give a little bit of an overview of what we do when the Company creates a generation project asset. These are typically assets where we go out and we competitively bid for a power purchase agreement, either with a utility customer and those are our larger generation assets or behind the meter customer, like for instance, that San Bernardino project where we're selling power directly to the municipalities. So that's kind of the first step. And then the Company through our financing operations will go out and solicit competitive bids to either finance the project or sell the project and evaluate those bids. And as we've talked about the Company's preference for our current portfolio, is to build a chunk of assets on balance sheets so that we can benefit from the recurring cash flows.  So for these two projects, we went through that process during the build-out of these assets and we're comfortable with the financing terms that were offered by these two counter parties. As Jason mentioned, this is our second transaction with Krestmark, our first transaction with Eastwest Bank. The Eastwest Bank transaction was a partnership flipped transaction that's our first type of tax equity transaction. That transaction lends itself also to potentially bringing in back leverage debt as well and those are things that the Company will look at doing in the future. So I'd say there has been good interest in financing our projects and doing that on a repeatable basis. And we're looking forward to having further discussions for the assets that remain in our portfolio under development and construction.
Noel Parks: Great, thanks for the clarification. And I wanted to ask about on the hydrogen front, your distributed hydrogen projects. Could you just talk a bit about long-horizon component to [Indiscernible] even relative in terms of your larger generation [Indiscernible] You could talk something about how those are proceeding, that would be great.
Jason Few: Noel, the way that we do development inside the Company, you could think about it this way, we have an advanced technology organization in which we drive our innovation there. That innovation then is turned into product, given our validation of market need and fit for that product. When we achieve commercialization, that product now is on the shelf, if you will, and available to our sales team or business development organization to offer that product to customers for sale.  When that product is commercial than we have an engineering part of our organization that we call our operational engineering organization. And the product then really falls into that group in terms of how we maintain the product, like on services on an ongoing basis between them and our customer service organization. So as we develop products, we then hand them off, if you will, to our commercial organization to then be able to offer those products to customers and work directly with customers on the sale of the products. Did that answer your question?
Noel Parks: It's helpful. I guess I was thinking a little bit more about -- It's hard to divorce hydrogen from the larger infrastructure issues going forward. So I guess I was thinking about how that piece and your decisions are around possibility of investment in, say, transportation infrastructure might be evaluated in your organization?
Jason Few: Yes. So what we do -- I mean, we do a lot of market research. And through engagement with customers, we look at where should we prioritize our resources from a sales focus standpoint? Where should we prioritize and direct our development efforts in terms of capabilities and as we talked about, our platforms have multiple features. And so we even prioritize which features we flex on first, if you will, given how we see the market unfolding and where we think we have an opportunity to win in the marketplace, how we differentiate. And so we've just been thinking about hydrogen more broadly.  Like you, we're excited about what's happening in the evolving hydrogen economy, the amount of interest and dollars being committed by governments across Europe, Asia, and certainly what weighted here domestically in the U.S. So our platforms, the thing that excites us about our platform capabilities is the fact that we have three different technologies around how we can deliver hydrogen. So if you look at what we're doing with Toyota, that's an example of our TriGen platform, and that platform allows us to provide power, clean water, and hydrogen from a single platform. And we can do that by using renewable natural gas, so we're delivering green hydrogen and carbon.  [Indiscernible] neutral to carbon negative power and/or as we advanced forward in the future, we have the ability to do things around carbon capture, for example, to deliver blue hydrogen. Secondly, we're working to commercialize our technology around REP. That's leveraging our current molten carbonate technology. And you can really think about that as hydrogen-generation platform because, in that instance, we're operating the platform and reverse mode. We're not doing the co-production of power, and we're generating hydrogen, which is core and fundamental to our product anyway. That's what we do. We create electrical chemical reaction, we make hydrogen, and we turn that into power.  In this case, we'd be making hydrogen and we'd be handing that hydrogen off to any number of applications. And because of the distributed nature of our platforms, we can co-locate or site that in a clean way, which today is one of the challenges because of the way hydrogen gets transported today, largely by truck. So we can be exactly where that hydrogen is needed. And then the work that we're doing to commercialize our solid oxide platform. In that instance, we have the ability to do electrolysis, and we can do that by using only renewable energy like wind and solar, or we can use grid-related energy or even take advantage of nuclear energy, as a way to do electrolysis and to create hydrogen.  And we have a highly efficient platform with our solid oxide capabilities to do that. And with the use of, as we've talked about, incremental waste heat, we can actually deliver a 100% efficient efficiency in the conversion of electricity into hydrogen. That hydrogen can be stored, or that hydrogen could be handed off, again, [Indiscernible] well-suited for electrification but needs high heat as a way to manufacture its products, i.e. steel, as an example, and that's an industry that's working to decarbonize itself. Our technology can certainly play a role in that as we get to commercialization.  Or that hydrogen can be stored and serve as the intermittent firm capacity, if you will, for intermittent technologies like, wind and solar. And because we can store that hydrogen in traditional means, for example, in salt caverns, the way you store natural gas today, or in pipelines, or in pressurized tanks, you virtually have endless capacity. So if you say, "Look, we want to build a platform that creates an ability for us to store enough hydrogen as the energy source, " so in this case hydrogen becomes the energy source, and you want that for days, weeks, months as opposed to four hours, for example, as in the case of like batteries. You have the ability to do that. We think about those three platforms, and our ability to address market needs, which come into play around what's the cost of electricity, what's the fuel availability? No fuel. What's water availability? No water. So we have a lot of optionality in terms of how we approach the hydrogen market as we get to full commercialization across all three platforms.
Noel Parks: Great, thanks so much.
Jason Few: Thank you.
Unidentified Analyst: Thank you. I thank you for taking my question, and good morning.
Jason Few: Good morning.
Unidentified Analyst: You mentioned about Connecticut 30 megawatts. So maybe starting over there, can you help us understand, like put in context, how should we think about near-term orders or projects from Connecticut versus what we have seen over the last two years?
Jason Few: Yes, so for that specific order that the Governor signed into law requires the utilities to purchase 30 megawatts of FuelCell power generation in this day. And that's divvied up on a pro-rata basis between our two utilities here in the state. So roughly, 24 megawatts for 1.6 megawatts for the other. There's a timeline for that process for which those RFPs are supposed to be run. And winners selected on those RFP responses in the state, like [Indiscernible] receive extra consideration in ultimate decision that gets made by the utility in terms of the FuelCell platform that they will elect to choose. That bill and that process, is one in which will be driven by a very open utility RFP process for which we will participate in that process and we're really excited about that, and that creates opportunities for us to win. Now, we've got to go bid, we got to compete, and we got to win, and we're certainly going to work on doing that in Connecticut on those opportunities.
Unidentified Analyst: And in terms of timeline, should we be thinking that by the end of the year?
Jason Few: No, I think you could think about the timeline that's laid out, this is really more of a '22 activity, when you'll [Indiscernible] the utilities making decisions or final decisions around that.
Unidentified Analyst: Got it. Maybe switching to international markets. We have obviously been in process of going back in Korea, going back in Europe. Can you update us as to latest thoughts over there? How are the conversations progressing? How should we be thinking about timeline over there?
Jason Few: Yeah. Maybe I'll start first with Europe. That's a market that's obviously very exciting to us. Not only with our traditional technologies, but just how aggressive Pan-European countries are looking at the opportunities around hydrogen as a significant way for them to transition their energy infrastructure, and then the interest that exist there around carbon capture as well. We have a number of opportunities in our pipeline that we're pursuing across various countries in Europe. And again, as we talked about, we typically expect given the size of opportunities that we bid on, generally, opportunities that are -- even when they are behind the meter, in often cases we're also grid-connected, or as we work through our platforms, those are typically 18 to 24 months sales cycles.  And so we anticipate that given the amount of time that we've been in the market now, and as we've added resources and continued to add business development resources, we will start to see opportunities move from our pipeline into signed committed contracts. And as I said earlier, that's when we will state that we have firmly won those projects and we will move them into backlog. With respect to Korea, again, if you think about the same timeline, we as a Company really re-entered the Korea market in the July time frame of 2020 and have been actively engaging with customers in that market. And so, again, same view around the ability to convert pipeline opportunities into signed committed contracts would be around the same timing as we think about those opportunities. But again, also very excited about what's happening not only in Korea but Asia, more broadly, around hydrogen and energy transition as well.
Unidentified Analyst: Maybe if I can squeeze one last thing. So if you think about competitive dynamics are increasing in Korea today. One of your competitors announced manufacturing operations in Germany. Can you just help us frame if we think about applications, are these the same applications you and your other competitors are going in? May that be in terms of quality, may that be in terms of data center, are there different applications, different end markets that you guys are targeting versus your peers?
Jason Few: Yes. So as we think about our platform, and the word platform is important because we think about the multi-feature capabilities of our product and how we leverage that to differentiate against the competition. And for us, the competition we think about that being more broadly than just other FuelCell providers in terms of different generation decisions that a customer could make. If I think about a market like Korea, there's some clear areas where we are advantaged. For example, in Korea the ability to deliver steam is an important attribute of opportunities in that market.  If we narrow the discussion to just stationary FuelCell providers, we clearly differentiate ourselves in our ability to deliver steam versus our competitors. As we look at more energy transition type opportunities, and if we just took hydrogen as an example around that, the fact that we have three different platforms, we think gives us an advantage given the breadth of our portfolio, and the ability for us to [Indiscernible] in a market where energy prices might be a factor, right? In terms of being able to drive revenues from the sale of electricity. A platform like our Tri-Gen platform may be the best fit because you can drive generation revenue and you can deliver hydrogen. And the more you can drive from generation revenues the less you need to achieve from a pricing standpoint for hydrogen as an example.  Conversely, if fuel prices are low, and energy prices are low, the customer is looking to capture hydrogen. Something like our product, like the REP platform that we're working to commercialize, is a great opportunity for us to compete quite differently than maybe our competitive set, and then our ability to do carbon capture alongside of that, to deliver blue hydrogen. For example, we [Indiscernible] natural gas, we think is -- it puts us in an advantageous position. And then, our efficiency on electrolysis, we think will differentiate us in the market, both in terms of conversion of electricity and water and the hydrogen.  But then, the reversibility of our platform to utilize the exact same stack that converted that electricity into hydrogen would be the platform that would produce power. We think that round trip efficiency is also going to play to the advantage column for us. And so, we think we're well-positioned there. And in terms of our presence from a manufacturing standpoint or capabilities, we also have the capability from a manufacturing standpoint in Germany. So we feel good about how we're positioned to address global markets.
Unidentified Analyst: That's very helpful. Thank you for taking my questions.
Operator: Our next questions come from the line of Eric Stine with Craig-Hallum.
Eric Stine: Good morning, everyone.
Jason Few: Hey, good morning.
Eric Stine: Good morning, I'll just sneak in a few at the end. Just curious on the advanced technology and the milestone payment side. I know you get -- I think you've averaged probably one a year, and that's tied to the development work underway with ExxonMobil. Just curious, is that anything you can provide in terms of timing? And then maybe what that next milestone, what that maybe represents or what that means in terms of the process you're working through there.
Michael Bishop: Good morning, Eric. This is Mike. So on the ExxonMobil contract, there are two technical milestones in the contract of $5 million each. Once the Company achieves a certain -- achieves the technical milestone that we will get paid, and that will be revenue, we have not put out any guidance around the timing of when we expect to achieve those milestones.
Eric Stine: Okay. Got it. And then maybe just to confirm something on the fiscal 22 targets. When you talk about positive EBITDA and positive free cash flow, etc., are you talking about that's a year-end run rate, or are those levels that you anticipate meeting for the entirety of the year?
Michael Bishop: Yes. So year-end run rate expects to get there by the end of '22 based on continuing execution of the business plan, which does include building out project assets and continued activity in advanced technologies and across the business.
Eric Stine: Okay. Thank you.
Michael Bishop: All right. Thanks, sir.
Jason Few: Thank you, Eric.
Operator: That concludes today's Q&A portion of today's call. I will now turn the call back over to Jason Few for closing remarks.
Jason Few: Carol, thank you. And thank you all again for joining us today. We'll continue to execute on our powerhouse business strategy, working to deliver profitable growth and optimizing returns. The FuelCell Energy team is excited about our work to deliver on our purpose to enable the world to live a life and Power by clean energy. And we're committed to delivering long-term shareholder value. Thank you for joining. And I hope everyone stay safe and healthy and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.